Operator: Good day everyone and welcome to the Second Quarter 2013 Results Conference Call. This call is being recorded. At this time, I would like to turn things over to Mr. Luke Szymczak. Please go ahead, sir.
Luke Szymczak: Thank you, Sarah and welcome to the Frontier Communications’ second quarter earnings call. My name is Luke Szymczak, Vice President of Investor Relations. With me today are Maggie Wilderotter, Chairman and Chief Executive Officer; Dan McCarthy, President and Chief Operating Officer and John Jureller, Executive Vice President and Chief Financial Officer, as well as Su D'Emic, Senior Vice President and Controller. The press release, earnings presentation and supplemental financials are available in the Investor Relations section of our website at frontier.com. During this call, we will be making certain forward-looking statements. Please review the Safe Harbor language found in our press release and SEC filings. On this call, we will also be discussing GAAP and non-GAAP financial measures as defined under SEC rules. Reconciliation between GAAP and non-GAAP is provided in our earnings release. Please refer to this material during our discussion. I will now turn the call over to Maggie.
Maggie Wilderotter: Thanks, Luke, and good afternoon, everyone. Thank you for joining Frontier’s second quarter 2013 earnings call. It's great to report solid progress in the second quarter. On Slide 5, you’ll see a substantial quarter-over-quarter improvement in both residential and business revenues. As a reminder, residential results do not include the Mohave Limited partnership, which was sold on April 1. The 0.3% sequential decline in residential revenue is by far the strongest quarter-to-quarter performance since the close of the Verizon acquisition in 2010. It reflects a focus on keeping customers, growth in broadband market share, new products and an improved customer experience. Our plan in Q3 is to stay the course. Business revenue is also good news down only 0.4% sequentially in an economic climate that continues to challenge every company. Our customer relationships enable us to tailor products and pricing to their needs. And local engagement with new prospects is paying off. Decentralized sales and marketing has also contributed to improved revenue. Dan will discuss our marketing and commercial sales efforts in more detail. Total customer revenue was essentially flat down only 0.3% or $3 million sequentially. We believe, we have turned the corner and are successfully mitigating revenue declines and getting closer to our objective of growing revenue. As mentioned, our improved revenue trajectory is being driven primarily by broadband net additions and an improvement in customer retention. Another contributing factor is Frontier Secure; we are adding approximately 20,000 Frontier Secure customers a month. Our total Frontier Secure customers are 337,000 or 17% penetration of our broadband base. In addition, we launched a new equipment insurance option for our customers in June with a strong out of the gate sales of 800. We achieved more than 29,500 broadband net additions in Q2 despite faster seasonal trends typical of this quarter. Year-to-date, we have added more than 57,000 net broadband customers more than in any full year since the acquisition. We see that momentum continuing so far in Q3 and while we know there is a traditional slowdown associated with the summer season, we still believe our broadband growth on a relative year-over-year basis will continue to be exceptionally strong. Let’s talk a little more about data on Slide 6. The second quarter marked our fourth quarter of sequential growth in residential data revenues. It was 4.9% in Q2 up from 3.7% in Q1; these results reflect our focus on making the right products available in the right markets and our strong outreach and partnership with our new and existing customers. By any measure, this is significant progress, year-to-date we have seen sustained improvements in customer metrics and broadband net additions, which is extremely encouraging. Please turn to Slide 7. It’s no secret that customer loyalty is vital to any business and we consider keeping customers key to revenue stability and growth. We continue to make excellent progress in Q2 in this area. Residential customer retention in Q2 improved by more than 40% sequentially and 73% year-to-year, that translates to a loss of 16,000 residential customers versus 60,000 in the second quarter of last year. In business, Q2 brought an improvement in the rate of customer losses as well. We lost about 2,900 business customers compared to 5,700 in Q2 last year. This was the lowest absolute level of business customer loss since the acquisition. Second quarter results outperformed Q1, when we lost approximately 5,000 business customers. All in all, very significant retention progress was made in both customer segments. The extensive work over the last few years to improve our networks, simplify how we do business, sharpen our focus on customer service, promote the right offers to the right customers segment and engage locally have truly made a difference in keeping customers and driving data revenue. We continue to lead with broadband as shown on Slide 8, approximately 80% of gross adds in the quarter included broadband as part of the package. Customer offers and channel incentives are tailored to keep this percentage high. Our bundled 19.99 broadband basic offer and our standalone Simply Broadband product at 29.99 continue to meet with positive customer acceptance. Customers’ love the simplicity, the value and the long-term certainty of honest straightforward pricing without the surprises of add on fees and [sticker shot] that follows the end of short-term promotional pricing offered by our competitors. We don’t like surprises and we know our customers don’t like them either. We have the opportunity to achieve further revenue lift by driving broadband penetration and market share substantially higher and migrating both existing and new customers to higher speeds. Please turn to Slide 9. We remain committed to simplification and cost savings. Our Q2 margins reflect continuing cost disciplines. As discussed on previous calls, reducing cost and improving efficiency is just part of daily business and at Frontier, it’s good business. We are committed to continued expense reductions year-over-year. In summary, we are pleased with the progress we have made this quarter and are increasingly confident that our investment in people, products, process improvements in our network will benefit our business and our stakeholders in the second half of 2013. I want to also thank our employees for their dedication and their focus on the customer. They are improving performance and delivering solid results everyday. I’ll now hand the call over to Dan McCarthy, our President to cover operational trends as well as an update on the network.
Daniel McCarthy: Thanks, Maggie. I’d like to start by discussing our Residential and Business segment’s results. Please turn to Slide 10. We had a strong quarter in the Residential segment; this is the first quarter in which the sequential dollar increase in residential data revenue exceeded the dollar decline in voice revenue in over five years. This is a result of the substantially higher broadband additions in Q1 and Q2 and significant improvements in our rate of customer losses. In Q2, we continued our successful broadband offer strategy. This has been well received in the markets and continues to offer a compelling value proposition for our customers. Residential ARPC benefited from the sales of higher speed products and products in the Frontier Secure family. Another factor to improving our results was broadening our distribution channels. In Q1, 20% of gross additions came through alternate channels. In Q2, those channels contributed 30% of gross additions, a significant improvement in production. Alternate channels is an important part of our distribution strategy. These channels provide a balanced sales approach that offset some of the seasonality seen in our traditional channels. Our improved packages and expanded distribution channels are enabling us to take more broadband market share. Slide 11 shows significant improvements in operational trends in all parts of our business segment. Reduced churn and increased sales help drive strong improvements in our commercial revenue. Q2 results were a dramatic step forward, but there is room for further improvement in this segment. The focus for the remainder of this year will be improving customer retention and growing market share. Our customer loss rates significantly improved this quarter thanks in part to our all-in-one approach that incorporates great network services and flexible CPE solutions. This approach provides a full service provider in areas that were historically unsupported by equipment manufacturers. Our success was recently acknowledged by one of our principal partners Mitel, who recognized us as its number one partner in the United States. In July, we launched a new broadband offering for business customers. Initial results are promising and we believe this offering will contribute to improved business results through the remainder of the year. For larger customers, we are continuing to expand Ethernet availability and ensuring we provide a total communication solution. We feel very good about the sales pipeline and we will be expanding additional distribution partners to further bolster our sales productivity. The Carrier segment performed well despite declines in wireless backhaul revenue, we continue to see our carrier partners migrate to Ethernet solutions. As a reminder, we expect the annual impact of this migration to be $25 million to $30 million, which has been occurring throughout this year and is included in our 2013 guidance. Slide 12 updates the progress we are making on our network. We have several significant initiatives underway. We are completing our broadband expansion program and implementing the CAF Phase I area build out. In Q2, we turned up 32,000 total households in both categories and we will expand to an additional 90,000 households by year end. Our plans for the CAF Phase II filings are in the works and we plan to participate fully in that program. We expect to apply for up to $70 million in this round. We continue to make progress in our builds of Ethernet to wireless towers and expect much of this work to be wrapped up by year end. Finally, we continue to invest in network speeding capacity to support our goal of driving broadband penetration. Customers are beginning to purchase higher speed products. In Q2 20% of broadband gross additions were above the basic speed tier versus approximately 15% in Q1, we believe we are well positioned to attract more customers seeking a migration path higher speed products. As you see on Slide 13, we continue to make progress in terms of expanding the availability of higher speed tiers, with 43% of the households being able to access speeds of 20 megabits or greater, 55% having 12 megabits are available and 75% having access to six or better. As you know, we had commitments related to the 2010 acquisition regarding availability on speeds. At the end of Q2, 84% of households in acquired markets were capable of three megabits and we’ve seen no problems hitting our commitment by year-end. We continue to believe that our improving network capabilities are resulting in higher levels of customer satisfaction and contributing to our success in the marketplace, we are pleased with the reception that our new branding has received. Frank the Buffalo provides an excellent platform to creatively offer our products to our customers. Our launch went as planned and we are building our brand awareness and driving sales with this innovative approach to marketing. In summary, we have improved our key metrics through improved product offerings, expand the distribution channels co-ordinated local engagement marketing and substantial investment in our network and systems. We are very pleased with our progress and we will remain focused on driving further improvements. I will now hand the call over to our CFO, John Jureller.
John M. Jureller: Thank you, Dan. Let me review the second quarter’s financial results. Overall, Frontier had an earnings per share loss of $0.04 in the second quarter of 2013, as compared to a gain of $0.02 in the second quarter of 2012 and a gain of $0.05 in the first quarter of 2013. Adjusting for our loss on extinguishment of debt, gain on sale of Mohave Cellular Limited partnership interest, severance and discrete tax items, our non-GAAP adjusted net income was $0.06 per share as compared to $0.05 per share in the first quarter of 2013. On July 31, Board declared a quarterly dividend payment of $0.10 per share in line with expectations. Slide 14 shows our revenue composition. Our GAAP reported revenues for the quarter were $1.19 billion, a decline of only $15 million or 1.2% sequentially and a decline of 5.4% from the second quarter of 2012. Excluding the impact of Mohave, our total revenues declined only 0.6%. Customer data and Internet services revenue increased $12.6 million, versus the first quarter of 2013 a 2.8% increase and $11.2 million greater than the sequential increase in Q1 2013 as compared to Q4 of 2012. Partly offsetting the sequential data revenue improvement was a decline in local and long-distance voice services revenue of $12.1 million or 2.3% as compared to the first quarter of 2013. However, as Dan noted earlier, our revenue increase in data was larger than our revenue decrease in voice an encouraging overall parameter for our business. Regulatory revenue for the quarter was $139 million or a decrease of 2.5% sequentially principally due to a planned reduction in local switching support. Total residential revenue was $505.5 million. On April 2013, we completed the disposition of our Mohave Cellular partnership interest. As Maggie mentioned at the outset, pro forma for our disposition of the Mohave partnership interest, the residential revenue decline in the second quarter was only 0.3% sequentially. Business revenue of $546.4 million was down 0.4% sequentially. This reflects a slight decline in wireless backhaul as anticipated. Our small and medium business revenue showed a mildest decline in the quarter, with this rate of decline reflects good sequential improvement from prior quarter’s results. Slide 15 provides an analysis of our overall – of our average revenue per customers. In residential, average revenue per customers or ARPC increased 0.5% sequentially and 1.8% over the prior year. We are pleased that ARPC continues to move higher benefiting from bundled package migrations including higher speeds, a continuing higher mix of customers with our broadband product and a strong attachment rate of our Frontier Secure services. Business ARPC was 1.1% higher sequentially and 2.8% higher over the prior year with improvements in products and pricing providing the lift over the first quarter. Turning to cash operating expenses as shown on Slide 16; our cash expenses decreased by an additional $10 million sequentially in the quarter and by $25 million relative to the fourth quarter of 2012. As Maggie mentioned in her remarks, our expense management focus resulted in the stability in our adjusted EBITDA margin. Adjusted EBITDA margin was 46.8% for the second quarter of 2013 up slightly from 46.6% in the first quarter excluding the impact of Mohave. We do anticipate a few modest investments in marketing and customer service operations in the third quarter, but we are also continuing to take cost out of other areas of the business. This reinvestment in our business combined with efforts focused on expense management is in line with what we’ve communicated on our last earnings call. We spent $138 million in capital expenditures during the second quarter of 2013, a decrease of $30 million or approximately 18% as compared to the second quarter of 2012. This decrease is merely timing related, we expect that capital spending in Q3 to increase as compared to Q2, but our overall CapEx guidance for 2013 of $625 million to $675 million remains unchanged. We continue to spend to upgrade network speed and capacity where we can drive the greatest revenue impact and to fund planned wireless backhaul projects. In addition to our CapEx spending, we did use $7.4 million in Q2 and $9.2 million year to-date of the SEC Connect America Fund monies that we previously received to expand broadband reach. Frontier’s cash flow as shown on the Slide 17 remains very healthy. On a trailing four-quarter, our cash flow from operations plus capital expenditures was $750 million. Our dividend payout was 57% in the second quarter and 52% for the first half. On Slide 18, we update our leverage ratio and liquidity. Frontier's liquidity remains strong, we ended the quarter with approximately $1.3 billion in cash and credit availability. For the first half of 2013, we reduced our gross debt by $784 million and our net debt was $7.6 billion at the end of the quarter. During the first half of 2013 over $21 million in escrow funds related to the Verizon transaction will release to the company from West Virginia and Oregon. We expect the remaining balances of slightly over $20 million to be released in stages between now and 2014. On Slide 19, we illustrate our long-term debt maturity profile. This reflects the impact of the $750 million debt issuance in April and over $1 billion of related debt repurchases. We expect to repay existing debt maturities comfortably with cash on hand and free cash flow from operations through 2017 or 2018 without a need for refinancing. Our 2013 guidance remains unchanged and is outlined on the Slide 20. In summary, Frontier's operating results, prudent capital investments and expense management provides a strong cash flow base and a solid financial platform for supporting the business, servicing our debt and maintaining our dividend payout. With that, let me pass the call back to the operator and open up the call to questions.
Operator: Thank you. (Operator Instructions). We will hear first from Batya Levi of UBS.
Batya Levi – UBS : Thanks. Question on the consumer market, can you provide a little bit more color on the subscriber trends? They’re going in the right direction, churn remains flat suggesting that gross adds are improving. Can you talk about where those customers are coming from and how do you expect that trend to continue? And also on the revenue side, can you give us a sense of roughly what percent of the base is on the new pricing plans now, and as you transition the base of the new plans, how do you think that will impact ARPU going forward? We’ve have seen some stabilization on the ARPU growth, can we see that accelerate going forward? Thanks.
Maggie Wilderotter: Hi Batya. Let me take a shot at some of these numbers and if John or Dan want to jump in, they can sure do so. On the sub-trends in terms of where we’re getting the new customers from, we are definitely taking share from the cable operators in our markets. So, we are watching that very closely. We actually judge our General Managers and our regions on growing market share for broadband. So, we track it on a daily basis, we know what the universe capability is. We know what our share starts out at, and then we watch what happens on a monthly basis in terms of share growth. So we feel very good about that. I would say 75% of all of our markets are growing share right now against the cable guys in the second quarter, and as I mentioned before, you asked if this trend is continuing and yes, we are seeing that, July again, we know that its seasonal in the summer, but we still had a very strong showing in terms of net growth of broadband additions so far this quarter. And our goal is and I’ve said this in the past is, especially in the acquired markets we have started out with a low share number for broadband. So we think there is definitely upside and headroom for us to continue to grow that share. And we do know that these new products and services are resonating in the marketplace. Our close rates are up in the call centers across the Board, both residential and business, highest close rates we’ve seen in the Company. So we know that our reps are very comfortable selling this. And as Dan mentioned, we had very, very good success in selling these new plans to our alternate channels as well this quarter. The last thing I’ll mention is, we are not just putting on all new customers on these new plans, but we’re also in the process of migrating customers from older legacy plans over to these new plans. We are accelerating that in the third and fourth quarter on the migration side and we will be able to give you more color, I think after the third quarter in terms of the percentages.
Daniel McCarthy: The other thing I would add Batya is that the simplicity of the offer and the clarity for value proposition is resonating in all of the channels as Maggie pointed out. So it’s translated into better customer response rates whether it’s to alternate channels partners or to our direct marketing tactics, improved sales conversion, improvements in total production from the alternate channels and really as Maggie pointed out strong win backs. The last thing that’s been kind of the secret sauce is aligning our contact centers into state specific queues and those queues allow us to build competencies and that’s paying dividends nicely. So we continue to see sales improvements out of all the centers and at the same time all the alignment work we’ve done at marketing and sales allows us to really maintain tight intervals and we’ve been able to meet all of the demand without really seeing any increase to cost structure.
John M. Jureller: Batya this is John. Let me just add some more color with respect to ARPU and while we don’t breakout a lot of our detail, I think you need to remember what Dan had mentioned in terms of customers taking our higher speed. So even for our Simply Broadband product as customers take higher speeds together with the attachment rates of Frontier Secure that Maggie cited, our total ARPU for that particular customer even in a single play is higher than where we’re getting our deactivations, which was our – primarily our voice only customers. So as we continue to blend through and add broadband to our mix 80% of our gross adds in the quarter were took broadband, we are seeing the overall lift in ARPU and we expect to see this continuing.
Batya Levi – UBS : Okay, great. That’s very helpful.
Operator: Moving on, we will hear from Frank Louthan with Raymond James.
Frank Louthan – Raymond James: Great thank you. Can you talk us a little bit about the enterprise side, seeing some improvements there on some of the sales expansion efforts. What sort of the outlook there, is it more sales hiring coming and how should we think about that in the back half? And then give us an idea on the subsidy step down on the third quarter additional adjustments, sort of mandated adjustments versus just the incremental trend how should we think about what’s the incremental impact from that just so we’ve got that right for modeling purposes?
Daniel McCarthy: So Frank this is Dan. I think on the first off on the enterprise side. We continue to see good performance in our Enterprise segment especially on our legacy properties. On the acquired properties, I would say that like many others in the industry we’ve seen some slowdowns on some of the major players who are doing ARPUs and deciding whether they want to change from their incumbent provider today and we’re in the fight for that, but it’s a slow sales process. Where we see a lot of opportunity, however, is on the medium-sized customers and in the small space. And we’ve adjusted our strategies around those two segments to try and take advantage of the opportunities as we go into the back half of the year. For instance, in the small space we’ve redesigned our small business bundle to actually create a very strong win back opportunity to make it more flexible and we’re seeing great results initially as we’ve offered that and that’s going head-to-head with the cable competitors. In the medium space, we’ve really focused on improving our “installation intervals” and standardizing certain product pricing and staging CPE solutions and that has really paid a lot of dividends for us as we focused our sales team on market growth rather than just [embedded place] management. And I would say the final two things on commercial, our CPE partnership has really started to pay a lot of fruits at this point. Our portfolio of product is providing a competitive weapon as we begin and open up those conversations with these medium customers, because those customers in many cases have delayed technology refresh cycles and they are looking for a partner that will be local and supportive. The headwinds that we do see in the commercial slide is really around the tower losses that we’ve had and the migration to Ethernet from TDM. Those were anticipated as we discussed in our last call and we’ve included those in guidance in our forecast, but the remainder of our carrier and wholesale business continues to perform well and we continue to see strong interest in Internet from all of our carrier – I’m sorry Ethernet, from all of our carrier partners. On the ICC side, Frank we – nothing has really changed from where we anticipate what we got in the last call, if we see the overall impact to us being similar to what we saw last year should be a decline of $13 million to $13.5 million in the second half with an approximate $12 million eligible for recovery through a combination of [art-silicon] cap funding and so it I should ultimately be about the same impact as we saw last year.
Frank Louthan – Raymond James: Okay, great. Thank you.
Operator: Our next question comes from Philip Cusick with JPMorgan.
Philip Cusick – JPMorgan: Hi, guys thanks.
Maggie Wilderotter: Hwy, Philip.
Philip Cusick – JPMorgan: Maybe we can start with on the expense side, can you talk about the progression of cost savings from here. Can we start to see a point where savings outpace revenue losses this year or do you think that really is a next year phenomenon?
Maggie Wilderotter: John, do you want to start and I'll jump in.
John M. Jureller: Sure. Hey Phil good afternoon. We are continuing to maintain our discipline in our cost reduction efforts moving to other regions and at the corporate level, across our network our other CapEx through whether it's our workforce, whether it's our facilities, whether it's through working with our vendors on procurement. So we see a continuing ability to reduce expense as we had anticipated and as we planned. So I think the maintenance of our margins in the face of where we are in our revenues is really a proof of that and we are continuing on those efforts.
Maggie Wilderotter: You know one other thing that I would add Phil is, since the end of 2012, our workforce has been reduced by about 8% and that includes attrition, it includes retirements, it includes some consolidation of different functions and rightsizing the business. In addition to that, we’ve taken out a lot of contractors in our business that we had had just based upon the processes that were in place in the past, and you’ll continue to see contractor reduction through the rest of this year. We’ve also focused on simplifying business processes and our procurement teams have been renegotiating contracts with several of our vendors based upon our scale with those contracts coming up for renewal and then we’re also very focused on a number of IT projects for automation that will carry us over into 2014. So I think as we’ve mentioned, our goal was if you look at 2012 numbers, our goals was to take a $100 million of cost out of the business compared to 2012 and we are definitely on track to do that and we have line of sight for all the projects to get us there. But for Frontier, we’re going to always continue to look at rightsizing this business based upon the competitive environment, based upon opportunities with technology and based upon what we have to do to service our customers better. So we will continue to stay the course, we have a very good track record in cost reductions as business as usual for our Company and we’re not going to back away from that this year or into next year.
Philip Cusick – JPMorgan: Okay and then if I can dig a little bit into the broadband side, you talking about indirect and that’s been a great channel. Is there more to come there, are there more indirect channels to add or is that sort of reaching steady state?
Maggie Wilderotter: Absolutely. I’ll let Dan talk a little bit about some of the things we’ve been working on.
John M. Jureller: Yeah Phil we are exploring a number of additional partners for both the residential and the commercial side. So I feel very bullish about adding additional partners and I think they will be very productive as we go into Q3 and Q4 time period.
Maggie Wilderotter: Yeah, there are several going to come this quarter Phil and also we’re expanding a number of the alternate residential channels to also support small business with the new offers we just launched.
Philip Cusick – JPMorgan: And then on the same subject, I think you’re selling HughesNet now for a couple of quarters. Is there a decent amount of satellite mix in the net adds this quarter or is that not significant?
John M. Jureller: It’s been, it’s a nice addition to the portfolio Phil and we’re selling it at the very fringe as you can imagine. So, it didn’t make up a very material part of the total but it was absolutely a nice addition to the sales mix for the quarter.
Philip Cusick – JPMorgan: Got it, thanks guys.
Operator: Moving on, we’ll hear from Simon Flannery with Morgan Stanley.
Unidentified Analyst: Hi this is [Amintos] for Simon. I was hoping you guys would be able to talk about leverage. The goal was a 2.5 and how you’re thinking about that going forward? Thank you.
John M. Jureller: Sure. This is John, and let me take that. 2.5 times is a long-term goal that we have for our Company, and our Board, we constantly review our capital structure with our Board in making sure that we are prioritizing the use of cash appropriately. Our first use of cash is to support our business. Support our network to make sure that we have the right capacity, capability, and reach to service what is our current base, as well as our expanding base, that’s our primary objective. With respect to cash after that it’s there to protect our dividend and maintain our dividend payout, we know that’s important process, we know that’s important for our stakeholders and then we are going to take that excess cash and on an opportunistic basis continue to reduce our leverage. As we mentioned our liquidity is more than sufficient to pay our maturities through 2016, just in the ordinary course, and you saw sort of proof of what we did in the first – pardon me in the second quarter this year in using some excess cash to take down our debt. So, we play that balance, but it’s expanding, and maintaining, and upgrading our network. It’s protecting our dividend and then reducing our leverage.
Maggie Wilderotter: And we do review the balance sheet with our Board every quarter as well.
Unidentified Analyst: Thank you, appreciate it.
Operator: And next we have Tom Seitz of Jefferies.
Tom Seitz – Jefferies & Co.,: Yeah, thanks for taking the question. I have two if you don’t mind. The first is can you talk a little bit more about the alternative channels? They have sort of a mix history in terms of the quality of net adds they provide and I was just hoping for a few more details on those to get a bit more comfort around them. And then I apologize if I missed this, but what does Wi-Fi expansion underway in all markets mean on Slide 12?
Daniel McCarthy: Tom, this is Dan. On the alternate channels we have a number of partners. Some you have probably experienced traditionally, others that are untraditional. And their production has been supportive and during that process we watch it very carefully to make sure that there is no immediate churn or churn in the period then we have the ability to call back any kind of commissions that are associated with that. And to-date, we have seen really spectacular results from them that have not shown any kind of quality issues and we’re very happy with their performance. The secret was really making our offers simple and easy for them to offer and then linking them into our systems to make it a seamless process for them, and as we’ve executed on that, we’ve seen the production levels grow. So we’re very happy about and we haven’t really seen any issues with the quality.
Maggie Wilderotter: Yeah, one of the things that I would just expand on Tom, when we talked about alternate channels in our Company, we talk about all channels other than the call centers. So if you think about that for us, it’s door-to-door, it’s outbound telemarketing, it’s the aggregator channel that Dan was talking about, it’s agents that we have both locally, regionally and nationally, it’s also Take the Lead which is a program we’ve had in place for many years where our technicians actually sell products and services to customers when they are either in the home from a residential perspective or out of business. Online, our own online websites is also one of our alternate channels that we are continuing to improve and see more traction in from a sale and customer service perspective. And last but certainly not least. is our local engagement activities in the marketplace, we do a lot of activities where there are opportunities to sell customers, up sell customers and provide knowledge about products and services for both residential and business. So it’s really the combination of all of those channels for us, that’s how we talk about it in our company, that’s how we focus, and that’s how we manage the channels other than just calls coming into our call centers. Let me shift over to Wi-Fi expansion and talk a little bit about that, I think as you know we have been very active in Wi-Fi for many years here at Frontier. We have 24 market clusters where we have Wi-Fi mesh networks that are built throughout those markets and in addition we will probably look to expand in other markets the Wi-Fi mesh networks over the next several quarters. But all of our sales teams on the commercial sales side are selling hotspots in any place where there is a waiting room. So we have huge expansion of Wi-Fi just as part of the day-to-day activities of sales in these markets. And last but certainly not least, we have a very specialized program for colleges and universities, I think we all know that that generation is using a lot of bandwidth. So we are working strategically with the number of the colleges, community colleges and universities in our markets to put in Wi-Fi networks for those schools, in order to accommodate students, faculty and the administration.
Tom Seitz – Jefferies & Co.,: Great. Thanks very much for the color.
Maggie Wilderotter: You’re welcome.
Operator: Our next question comes from David Barden of Bank of America.
David Barden – Bank of America Merrill Lynch: Hey guys thanks for taking my questions. Congrats again on the metrics. Just I’m sorry to ask one more question on this, the alternative channel. But can you talk about the relative economics, involving them in the process, are they like – is it a 5% commission, or is it a $1 commission per a month or something that you have on the system? Just trying to get a sense as to the relative value that they’re bringing to the table, and then the second would be just more kind of in the news, Time Warner Cable obviously a big variable in your footprint, could you talk about any kind of opportunities that you see that you might be able to even quantity for the third quarter in terms of kind of taking a pound of flesh from the issues you’re having with CBS? Thanks.
Maggie Wilderotter: So David let me start and I will have Dan jump in. On the alternate channels, we do pay typically $1 amount commission based upon what gets sold, not a percentage, and each of the channels have a different economic, so I think if you looked at a blended rate, it’s probably somewhere between $50 and $75. And it’s about a two month payback for us, so they’re very efficient channels for us and we’re getting very good customers on service through the combinations of the channels. And again, we try to segment the customers so we put the right channel in front of the right customer segment, that’s also important to us. With regard to Time Warner Cable, I think as you the dispute with CBS is in real rural areas likes New York City, Dallas and Los Angeles. So we don't have a lot in the footprint where they’re challenged right now with CBS, we do have two markets in Middletown and Monroe, New York that are basically veteran communities to New York City and we are very aggressive in those markets right now in allowing the Time Warner customers to know that if they want to watch CBS, we would be more than happy to have them in a Triple Play with Frontier with our DISH Network partner. So we are of course watching this just like everyone else, we do know that all providers of television services today have had challenges with the programming costs. Luckily we have a very small footprint in three markets that aren’t even a 100% files. But we do offer television services there and we've seen pressure on the programming costs for us as well. So we are taking advantage of it in the way we can, but it's not a huge impact to us as a Company.
David Barden – Bank of America Merrill Lynch: Great. Okay, thanks for the update, Maggie.
Maggie Wilderotter: You’re welcome.
Operator: And Kevin Smithen of Macquarie has our next question.
Maggie Wilderotter: I think we lost Kevin.
Operator: Kevin your line is open.
Kevin Smithen – Macquarie Securities: Yes. How should we think about the contribution margin from new broadband revenues versus access line erosion, are these – but the broadband revenues higher or lower gross margin and how should we think about that as broadband as you scale the broadband subs?
John M. Jureller: Sure, Kevin. This is John. We don't disclose our contribution margins by our product set. And I think we just say that on our ARPU though I would just go back to the comments that we had at the outset that overall our ARPC numbers continued to be enhanced by our broadband efforts.
Maggie Wilderotter: You know the one thing I would add Kevin is, we take a look at this all the time. I think the great news about broadband is their contribution margin is basically the same as an access line for us. We are not seeing any degradation in margins based upon selling, servicing and having a broadband line to the home. So and we’ve continued to see through Moore's law technology costs go down, so we feel very good that they are extremely profitable for us.
Daniel McCarthy: Right and Kevin I would just add to that. The infrastructure that we’ve put in place in many of the markets with Ethernet transport in aggregation allows us to scale without a lot of incremental cost, sort of Maggie’s point, the Moore's law has really played to our favor on the transport cost which would be the impact to margin.
Kevin Smithen – Macquarie Securities: Yeah and then on the – just follow-up to that you may have just answered it. How long can you maintain CapEx to sales at Q2 levels, if you continue to add broadband subs and Wi-Fi traffic at a rapid clip?
John M. Jureller: Sure, Kevin as we had indicated, we have reduction in CapEx in Q2 that was merely timing related, so if you look at our guidance overall for the year that 625 to 675, we feel comfortable maintaining that guidance for everyone.
Daniel McCarthy: Yeah we are at peak construction season right now Kevin. So we will finish that up and generally it goes all the way to October and then we will be shutting down for the year.
Kevin Smithen – Macquarie Securities: Great that’s helpful.
Operator: And next we will hear from Scott Goldman with Goldman Sachs.
Scott Goldman – Goldman Sachs: Hey, good afternoon, thanks for taking the questions. I guess couple wanted to first focus on the broadband side of things. Maggie it’s probably been a while since anybody has talked about Telco taking 75% of markets growing share on the consumer and the broadband side of thing. So wondering what you’re seeing from a competitive reaction from the cable guys and what your comfort level is with the success you’ve been having around the 19.99 and 29.99 Simply Broadband in terms of a go to market strategy for the back half for the year. And then secondly maybe for John wondering if you could help us think through some of the puts and takes around the free cash flow trajectory for the back half of the year It looks as though CapEx you’ve just given us some indication there that you are tracking pretty much to the midpoint of guidance there. Free cash flow perhaps tracking a little bit lower, but maybe there is some puts and takes around the EBITDA trends in the back half of the year and it certainly looks like maybe you are going to pay a little bit less in cash taxes in the back half of the year, but help us think through how that progresses from here? Thanks.
Maggie Wilderotter: Yeah, I’ll start Scott on the broadband and the competitive response and I’ll let Dan give you more color from a regional perspective. Look it, we think we have a right to win in these markets. We have great products. We’ve invested billions of dollars in these networks. We’ve improved the portfolio of capabilities and we are delivering simple offers that the customers really care about. So we are really thrilled in the turnaround over these last two quarters of pushing and growing share against the competition. And I think our constitution is pretty formidable. We’ve got 30% to 35% of our footprint is Comcast, another 23% to 25% is Time Warner, and then the balance are smaller players, Charter, Mediacom, Suddenlink and then some Mom and Pop. And I would say across the Board, we are holding our own or pulling share away from basically all the competitors, but I’ll let Dan give you a little bit more color on that.
Daniel McCarthy: Yeah, Scott, I think if you looked around the country at the entire resi and commercial landscape, the marketing from our competitor is really focused on Triple Plays, initial price points of $89 to $99, moving to $119 to $135 in year two. The only thing that we saw which were sweeteners that came in mid quarter and could have been due to our market share of growth or it could have been just softness of sales on their side, was a few various gift cards that came in mid quarter, but really nothing that impacted our sales levels or created any incremental customer losses. On the Internet only front, we saw competitors price their standalone product really at about $30 for year one and ramped year two pricing up to the $49 to $62 range. So you can see our offer is very competitive and even as people step up in speed and add an additional incremental ARPU on our product, we’re still very competitive. So we feel very good about that. Speed levels varied from 3 megs to 30 megs depending upon the competitor, but we did, as Maggie pointed we really took share virtually from everyone, and we think we’re very, very competitive with where we are now and on what we just been on the commercial side, we think we’re even better positioned. So on the commercial front, mostly the cable company is focused on double plays in that area, $79 to $102 per month and Internet only pricings ranged from about $50 to $75 and the average speed range from $6 to $16 with the exception being Charter who is at $30, but even with theirs any incremental speed from there was very steep incremental pricing. The only special offers we saw during the period was $300 Best Buy gift card, a basic TV package for three for a waiting room application and one competitor had a 50 gigabit backup storage offer. But we think where we are right now both from our pricing for embedded base as well as our aggressive offer to take share back, plays well against everyone of those competitors. So we feel very comfortable about where we are.
Maggie Wilderotter: Yeah the only thing I would add on the competitive front, that we have started to see now in Q3 is Time Warner has raised their pricing on all of their broadband modems, pretty substantially in all their markets and Charter has sort of positioned a Wi-Fi modem that they are making the customer pay more for, that we include Wi-Fi modems and have for the last five years in every one of our broadband installations and our customers with all these new packages don’t pay anything incremental for that modem. So again it’s another way that we can differentiate ourselves in the marketplace. We don’t nickel and dime the customers with the lot of extra fees.
John M. Jureller: So Scott, let me I’ll answer the cash flow, but just add to what Dan and Maggie said to, I think we consider is and what we look at is what is the lifetime costs to the customer for our packages and so when you factor in the step ups, when you factor in the modem costs, we are very, very competitive both in speed and prices. So in terms of the cash flow trajectory for the second half of the year, again we are maintaining on guidance that is there for the year, including our guidance with respect to cash taxes. I think you will see in the quarter there was a little over $80 million that we paid in cash taxes that was nearly timing, but the year as a whole our guidance remains.
Maggie Wilderotter: And then we’ll take one last question.
Operator: And that question will come from Michael Rollins with Citi.
Michael Rollins – Citigroup Investment Research: Hi, thanks for taking the question. Really two-fold, one is I was just wondering John you’ve been there now for an extended period of time. Are there more assets under the hood of Frontier that could be monetized in some way that can be value creating relative to the way that they are sitting in your portfolio, whether it’s real estate or some other non-core assets that you’ve looked at? And then secondly I was wondering if you could just talk a little bit more about on the broadband side, whenever or in the past when some companies have done promotions and you get a big surge of volume in interest, but then there is these periods of lumpiness that then follow. Is there a risk or something that investors should be thinking about in terms of just that lumpiness that could come as a momentum from the current promotions runs their course and there is time before you might be re-up for additional ones. Thanks very much.
Maggie Wilderotter: So, I’ll start on the broadband question and then I'll kick this to John to talk about in his six months on the asset he has uncovered that we can monetize, but on the promotion side, Michael I think what we’re doing today is different than we’ve done in the past. I think you’ve followed us for a long period of time and we did a lot of promotions, we do them for like three months and then we change or maybe a six month promotion, what we did this time at the end of last year is we’ve revamped the products bundle. So we are not running promotions in the marketplace. This is truly the product pricing and packaging and it doesn't expire for the customer. So they continue to stay on that and we’re giving them a price guarantee for two years on these packages from a residential perspective and then also with the new bundles that we've rolled out on the business side again they’re not promotional, they’re actually new bundles and we’re trying to migrate and move all of our customers to these new bundles both from a residential and a business perspective, which is another reason why you haven't seen in the first two quarters of this year, a lot of lumpiness in terms of what our net is and in terms of our growth rates. I also think it bodes well for us on the retention side, because for the customer there is not that moment of truth of the price going up for them to make a decision, whether they want to go someplace else or stick with Frontier. So we do know there is seasonality in the summer, we do know the dog days of the summer can affect our call volumes, it's usually our lowest call volumes into our call centers, we’re trying to counter that with a number of the alternate channels as Dan talked about. But we don't really see a lumpiness taking place with these offers that we have in the marketplace.
John M. Jureller: And just in terms of the assets the easy answer is no. There is nothing material and even if you look at the net proceeds that we’ve received from our sale of Mohave interest in the scheme of things, that’s not a material amount.
Maggie Wilderotter: You know the only other thing Michael that we have looked at is, I think you know we have a lot of real estate assets throughout the country, we are opportunistic in selling those assets if in fact there is an opportunity to do that we have contributed real estate assets to our pension program, because those assets are – we’re going to continue to use them for a very, very long time and the good news is we’ve actually seen some pretty good appreciation on those assets that we’ve put into our pension program. And we’ve also looked at some of our real estate assets where we have capabilities, we’ve done this in Rochester, we are looking to do this also in Fort Wayne, Indiana and a couple other places where we will provide datacenter capabilities to our larger customers, whether that’s backup capabilities for them or actually even running equipment on their behalf. So there are some ways that we are monetizing from an innovative perspective for the customer, but net-net I think we’re basically focused on monetizing the network assets first and foremost.
Michael Rollins – Citigroup Investment Research: Thanks very much.
Maggie Wilderotter: You’re welcome. So with that, I’d like to thank everybody for joining the call today. We really appreciate it, we’re cautiously optimistic about continuing with the same trajectory that you’ve seen in the first two quarters in the third and fourth quarter and we look forward to reporting more to you after our third quarter results are in. Thanks again.
Operator: Ladies and gentlemen that does conclude today’s conference. Again we do thank you all for joining.